Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier First Quarter 2021 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I’d like to turn the discussion over to Mr. Francis Richer de La Flèche, Vice President, Financial Planning and Investor Relations for Bombardier. Please go ahead, sir.
Francis Richer de La Flèche: Good morning, everyone. And welcome to Bombardier’s earnings call for the first quarter ended March 31, 2021. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I am making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the first quarter of 2021. I would now like to turn over the discussion to Éric.
Éric Martel: Good morning, everyone, and thank you for joining us today. With the sale of our transportation business closing in January, today marks are first earning call with -- as a pure-play business aviation focused company. And as you saw in the press release this morning, we started this new chapter with a very solid performance. This includes business jet revenue growth, margin expansion, and a significantly improved cash performance. Order activity was also strong in the quarter, and we continue to make progress executing on the strategic priorities we shared with you at the last month Investor Day. Most notably, are the actions taken to address our balance sheet, significantly reducing interest costs, and setting the foundation to becoming a more resilient and profitable business. So, in a nutshell, a good start, all of which gives us increased confidence in achieving our 2021 financial guidance and delivery target as we move through this transition year and pass the COVID-19 crisis. Let me say a few words on the overall economic environment. Clearly, we are in a very different and better place than we were a year ago at the onset of the pandemic. Today, even with parts of the world still locked down and some challenges with the global vaccination efforts, most market trends and indicators are pointing to a gradual reopening and a strong economic recovery. Collectively, these positive macro trends, our strong sales activity and favorable industry metrics, including record low used inventory level, and improving aircraft utilization rates suggest that the word the ‘worst’ of this pandemic maybe behind us and better days are ahead. Moreover with many new customers choosing private air travel, giving the intensified attention the pandemic brought to the safety, security and flexibility of our products, we see the additional potential for growth. However, notwithstanding these positive trends, at this point, we think it’s best to maintain a disciplined approach with respect to our production rates, until we are confident that the recovery is indeed firmly rooted, and we see sustained backlog growth. In the meantime, we’ll continue to focus our efforts on four strategic priorities to ensure we position Bombardier to deliver sustainable and predictable financial performance. Of course, we will also not lose sight of our top priorities, keeping our employees, customers and communities safe, until the threat of the pandemic fully subsides. And in that regard, we are proud to be working with the Quebec government and local partner in establishing a vaccination clinic at our Dorval facility to accelerate vaccination efforts in the community. Before I turn it over to Bart to discuss the details of our first quarter results, just a few words on our strategic priorities, starting with a Global 7500 learning curve, where we continue to execute and track right on target. In the past weeks, we celebrated two significant program millstones, the delivery of the 50th customer aircraft and the completion of the 100th wing at our Red Oak facility in Texas. With the program rapidly maturing and deliveries now at targeted levels, we have a clear line of sight to achieving the additional 20% reduction target by aircraft 100. We also continue to make progress, expanding our global service network and executing our aftermarket growth strategy. This quarter saw the integration of the Berlin Service Center following its acquisition at the end of 2020. Major expansion projects in Singapore, Miami, Melbourne and London also continue to progress on plan. We expect the Singapore project, which quadruples the site’s footprint, to be completed later this year, and our new 50,000 square feet Melbourne, Australia Service Center to come on line early next year. These large-scale expansions combined with our recently announced new service offering and capabilities, including the new Challenger and Learjet engine repair capabilities, a new line station in Geneva, and expanded digital tools and services all come together to support our Bring Your Jet Home strategy, and position us well towards achieving our objective of growing aftermarket services to approximately 27% of our total revenue by 2025, all while increasing our customer responsiveness, and satisfaction levels. Finally, as I mentioned earlier, we continue to make progress addressing our cost structure and balance sheet. With the repayment of our secured term loan facility in our successful tender offer, we have reduced our cash interest cost by approximately $200 million versus 2020. We also continue to focus on capturing the benefit of our transition to a more focused organization with lower fixed costs, and on executing on the initiative behind our objective of $400 million in recurring cost savings by 2023. With these actions, we continue to improve our cost structure and better position the Company to scale up at a lower cost base when the market recovers. We are suddenly seeing positive indicators, but we first and foremost to remain disciplined, focusing on what we can control and on executing our plan. So, let me stop here and turn it over to Bart to provide the details of our first quarter results and full year expectations and further deleveraging goals. Bart?
Bart Demosky : Thank you, Éric and good morning, everyone. Let me just start off by saying that I’m very pleased with both, our Q1 financial performance, as well as the progress we’ve made on our strategic priorities. Before going into more details on our results and full year expectations, I did want to take a few minutes to speak about our achievements towards the four strategic priorities we outlined during our Investor Day. So first, our Global 7500 unit cost is progressing as expected, and the aircraft has begun its positive contribution to EBITDA in Q1. For now, the program remains dilutive to our overall margins. However, we expect this to improve over the next quarters with the objective that the last units will become accretive to our EBITDA margins by the end of this year. Second, our $400 million cost reduction plan is also hitting its stride, with savings both on labor and indirect costs starting to hit the bottom-line. As explained during our Investor Day, these benefits should continue to ramp up through 2023. Since our last update, we have continued to review our opportunity pipeline and have identified and launched incremental initiatives, which will continue to close the remaining $75 million in annual savings to be secured. Third, we continue to execute on our aftermarket expansion goals. Since Q4 of last year, our footprint has grown following the integration of our facility in Berlin, Germany, and overall productive hours in our service facilities have increased by more than 20% in the first quarter of this year, versus Q4 of last year. Finally, we have made significant progress over the last months on deleveraging our balance sheet. With approximately $2.4 billion of liquidity directed towards debt repayments, we’ve already ensured that our cash interest paid in 2022 will decrease by approximately $200 million when compared to the cost of servicing our debt last year. The debt reduction actions achieved to date include the repayment of our secured term facility with HPS that occurred in February, and which dealt with our highest cost debt capital, followed by the recently concluded $1.6 billion tender offer, which targeted selected debt maturities between 2021 and 2023. Following our first quarter results as well as the conclusion of these actions, our pro forma liquidity remains strong at $2.6 billion, leaving ample room for further deleveraging actions. Overall, our plan continues to progress. Our objective is to build a 3 plus maturity runway, seek opportunistic refinancing of our existing debt, and work to optimize liquidity. We have just also announced the successful monetization of our 11.5 million Alstom shares for a total consideration of approximately $600 million, and we are still focusing on establishing additional working capital facilities to free cash from our balance sheet and optimizing the approximately $400 million of restricted cash that is tied to certain letters of guarantee with more capital effective solutions. We’re actively working to progress these goals during the second quarter of this year. With that, let’s move on to our Q1 results, which reflect our first full quarter as a pure-play business aviation company. Total revenues for the quarter reached $1.3 billion, supported by 26 aircraft deliveries and $269 million in aftermarket revenues. While this represents a 12% year-over-year reduction on a reported basis, business jet revenues increased by 18% when adjusting for the impact from the divestitures we made in commercial aviation and aerostructures. And I’ll provide a bit more detail on this in just a moment. The business aircraft year-over-year revenue growth was supported by higher content of large-cabin aircraft deliveries, nearly doubling from 9 to 16 units, including 8 Global 7500s. And it is worth highlighting that while the learning curve benefits unit cost, it also ensures a more stable delivery profile on this platform. And benefits from this include more predictable revenues, cash flows, and intra quarter cash usage. On the services side, revenues continued their recovery towards pre-COVID levels, increasing from $252 million in the fourth quarter last year to $269 million in the first quarter of this year. In Q1, overall flight hours for the Bombardier fleet were 19% below pre-COVID levels versus 22% below on average in Q4. The month of March was especially positive with flight hours only down by 10% below pre-COVID levels. Finally, divestitures accounted for a $401 million year-over-year reduction in revenues in Q1. This impact will continue in the coming quarters, but progressively reduce in magnitude over the course of the year. Just as a reminder, in fiscal year 2020, we had $895 million in revenues related to now divested commercial and aerostructure businesses. And as such, we will continue to see some negative impacts throughout the remainder of this year. Turning to earnings, total adjusted EBITDA for the quarter was $123 million, representing an EBITDA margin of 9.2%. Adjusted EBIT was $29 million for an adjusted EBIT margin of 2.2%. Our adjusted EBITDA increased 43% year-over-year, and our adjusted EBITDA margins improved by 350 basis points, or 61% to 9.2% versus 5.7%, in the same quarter of last year. And this is attributable to the following factors. First, our delivery mix improved due to a higher content of large-cabin aircraft. Aircraft margins were further helped by the progress made on the Global 7500 learning curve. The unit cost on Global 7500 in Q1 was in line with our expectations. And as we look ahead at the aircraft currently in the build cycle, we continue to see progressive improvements towards our 20% unit cost reduction by aircraft 100, again, in line with our Investor Day commitments. Further, we’re beginning to see the benefits in our class structure from the hundreds of cost reduction initiatives that were launched in Q1. A portion of these initiatives is already benefiting our bottom-line, and has helped contribute to the $32 million lower year-over-year SG&A expense. And we continue to be on track for the $100 million of targeted benefits in 2021. Continuing with free cash flow, our consolidated usage was $405 million for the quarter, which includes approximately $100 million of the $200 million in non-recurring charges that we have highlighted in our full year free cash flow guidance. Looking at our working capital, advanced levels have reduced by approximately $400 million, consistent with our expectations, as we continue to deliver on our Global 7500 backlog. And we expect to build backlog on our other aircraft platforms during 2021 and to recover a portion of these advances. Overall, our backlog continues to remain strong at $10.4 billion. Cash interest costs in the quarter were largely in line with 2020 and do not yet reflect the benefits from the deleveraging actions we have taken. Now, let me turn to our full year objectives. Looking ahead to the rest of the year, we’re exactly where we planned to be at this point. And with the markets showing progressive signs of recovery, we continue to be confident that we are well positioned to deliver the guidance laid out earlier this year. We continue to plan aircraft deliveries to be between 110 and 120 units, driving our top-line expectation of greater than $5.6 billion. Typical up and down seasonality in Q2 and Q3 should be followed by a pickup in deliveries in the last few months of the year. Our profitability is off to a good start with adjusted EBITDA margins of 9.2% in the first quarter. Our objective is for quarterly performance to remain in approximately 9% range in Q2 and Q3, moving with aircraft delivery mix. Similarly, adjusted EBIT margins should remain approximately in the 2% range. Finally, our objective is to sequentially improve free cash flow over the next three quarters. This should largely be driven by working capital improvements as we collect customer advances and build our backlog, partially offset by typical inventory build up until the end of Q3, which will be delivered in Q4, in line with the seasonal patterns of our industry. Looking specifically at Q2, we expect working capital improvements will be partially offset by higher cash interest payments, which are typically higher in the quarter. Based on the deleveraging actions taken to date, we will start seeing lower interest costs in the second half of this year. Lastly, the majority of the remaining $100 million of $200 million in nonrecurring cash items will be spent in the first half of the year. In conclusion, 2021 remains a transition year, laying the groundwork to ensure that we become a more predictable, profitable and resilient, business aviation company. We are focused on executing on our strategic priorities and have made great progress to that effect in the last months. And I look forward to sharing more achievements with you in the coming quarters. Now, before we open the call for questions, I want to briefly address the consent solicitations for our bonds that we initiated earlier this week. As we disclosed, we received a letter from one of the bondholders in our 2034 notes, claiming that Bombardier’s divestitures of certain assets, including our transportation business, regional jet program and aerostructures division put us in breach of certain covenants under the indenture governing are 2034 notes. Simply put, we believe these allegations are without merit, and that we are in compliance with all covenants under our indentures. We believe these divestitures have repositioned our business, strengthened our balance sheet, accelerated deleveraging and positioned us better for long-term growth and value-creation for our stakeholders. The first quarter results we’re discussing today validate that we are on the right track. We worked with our external advisors to evaluate a range of options to address the bondholder matter. We determined that initiating the consent solicitations is the most experienced and efficient path to maintain value and protect the corporation and all of its stakeholders. Notwithstanding the pragmatic approach that we are taking by initiating the consensus solicitations, we are reserving all of our rights and remedies. With that said, we’re here today to talk about our first quarter of 2021 and our results, which show we’re off to a strong start as a business aviation focused company. Beyond these remarks, we won’t be commenting further today on the consent solicitations or our bondholder interactions. And we appreciate you keeping your questions focused on our performance and our results. So, with that, let me please turn it back over to Francis, and we can we can get into the Q&A. Thank you very much.
Francis Richer de La Flèche: Thanks, Bart. I’d like to remind you that the Bombardier Investor Relations team’s available following the call and in the coming days to answer any questions you may have. With that, we will open up the line for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hey. Good morning, everybody.
Éric Martel: Yes. Good morning, Noah.
Noah Poponak: Bart, could you just spend a little bit more time on the 7500 margin and how that’s progressing? It sounds like you’re seeing a nice ramp through the year, just how much confidence do you have in that? And then, also, if you could just speak to a little bit more specifically how the mix changes for you or against you into the margins through the rest of the year?
Bart Demosky: I’ll maybe comment on the profitability, and then I’ll turn it over to Éric to talk about mix and a little bit more about the market. EBITDA on the 7500, it’s already positive in Q1, Noah. We don’t talk specifically about margins across our aircraft. But, we do expect the platform to be accretive to overall margins by year-end. We’ve got total cost visibility, all the way through aircraft 100, which is already in the build cycle and all of the learning curve improvements that Éric and I’ve talked about are right on track to deliver the 20% of incremental improvement. And just to expand on that, most -- or the vast majority of material costs are already contractually locked in. So, we’re highly confident in achieving our goals there.
Éric Martel: And maybe just to build on what Bart just said. We are clearly in a good place on the 7500. We mentioned at the Investor Day that we were targeting another reduction of 20% on our unit costs. We’re on target for that. To Bart’s point, we just delivered a couple of days ago, the 100th wing from Red Oak and the [indiscernible]. We’re building airplane 80, 90 something right now, in Toronto. So we have very good sight and visibility on where we stand. In regards to the market, so clearly, this is going to have a positive impact on our margin this year, as we are building airplanes that are more profitable. Right now, the 7500 was dilutive up to now. So, moving forward, this is going to have a nice contribution. So, clearly, the product mix here is going to be helpful.
Operator: Thank you. Following question is from Seth Seifman from JP Morgan. Please go ahead.
Seth Seifman: Just a follow-up on that quickly. I think you mentioned, Bart, kind of flattish sequential margins as we move from here. But, given improvement on the 7500 and cost cutting, and I would expect probably sequential improvement in the services revenue. What would keep that sequential margin from expanding from the Q1 level?
Bart Demosky: Yes. Seth, I think, first quarter, we had very strong Global platform deliveries, which obviously is very helpful to our overall margin, and had a great start with margins being in the order of 9% -- just over actually at 9.2%. So that favorable mix obviously helped us. We do plan for a bit different mix over the next couple of quarters, which is why we think would be relatively stable in 9%, 9% plus EBITDA margin range. But, as we move into the fourth quarter and we see more deliveries coming on the 7500 and the platform itself becoming margin-accretive by year-end, we’re expecting a strong Q4 finish with respect to margins. And overall that leads us tracking to our guidance for the year.
Seth Seifman: Okay. And just to be clear and to follow up real quick, I think the release mentioned something about sort of flattish delivery pace for 7500. So, sort of think about the Q1 level kind of flat in Q2 and Q3 and then pick up in Q4 to take the deliveries for the year into the range of 35 to 40?
Bart Demosky: That’s exactly right. And the helping benefit in Q4 as we finish up the year is that the aircraft itself with the incremental delivery starts to become a margin-creative. So, we’ll start to see a ramp up in margin for the business.
Operator: The following question is from Myles Walton from UBS. Please go ahead.
Myles Walton: I was hoping, I guess, on the margin question for just a second. I think, in the financial disclosure, it talks about a $27 million reversal of RVGs. And I just wondered did that help the first quarter margins and the backswing, some of the flatness for the rest of the year? And then -- that’s more of a clarification. And then, if you can just touch on what you’re seeing from a pricing perspective. That would be great.
Bart Demosky: Yes. I’ll just give you the straight answer on the first part and then Éric will talk about the latter. And the RVGs had no impact on margin, Myles -- the RVG reversal.
Éric Martel: In regards to pricing, that’s a good question. What we’ve seen so far this year is looking very promising. It’s actually in line or slightly -- even slightly better than our expectation. So, we will -- actually, we have good momentum in sales right now. And we feel pretty good about our backlog. We feel pretty good about what we’re seeing and being able to give good visibility on the remaining of the year. But, pricing has been in line so far.
Operator: Next question is from David Strauss from Barclays. Please go ahead.
David Strauss: Could you give us a sense of where the 7500 backlog stands at this point, where -- when the first availability is? And if you could, any sort of similar color around the 5500, 6500?
Éric Martel: So, in talking about the backlogs, so, right now we have a bit of a shift on our backlog where we needed to build backlog on pretty much all the platform, which is happening. And on the backlog of this 7500, right now we are very strong. We still have multiyear backlog. We still have the industry flagship airplane, we have 50 airplane delivered. We have 18 to 24 months should be a normal window for the 7500. So, we’ve been consuming some of that backlog right now because the number of deliveries are significant. But, we are still in line with the -- we are still reaching at product maturity with 35 to 40 airplane delivery a year, and we remain confident on that. So, we’re going to get into a zone right now of 18 to 24 months, where this is going to start to attract more sales on the 7500 and allow us to either maintain or even grow slowly that backlog. But, we’ve seen amazing momentum on the other platform building backlog here, which was important.
David Strauss: And can I just -- I wanted to ask a follow-up on your 20% EBITDA margin target that you have for 2025. Bart, would you expect that 7500 to be margin-accretive out there to that 20% target?
Bart Demosky: Yes, absolutely. In fact, we’re expecting it to become accretive by the fourth quarter or in the fourth quarter of this year, and then continuing on a strong momentum from there. The 20% cost improvement that we’re targeting, as Éric has highlighted before, it doesn’t end there. Our operations have a very long history of being able to incrementally improve margins beyond those kinds of levels that we’re anticipating. The other thing I just wanted to mention on the other aircraft platforms. So, we are looking to -- for a book-to-bill above 1 on those other platforms. But, we don’t want to promote, speculate on a targeted backlog level, just to add to Éric’s earlier comments.
Operator: Our following question is from Cai von Rumohr from Cowen. Please go ahead.
Cai von Rumohr: So, could you give us a little more color on the cadence of the year? Your services were up sequentially. And I assume you’re looking for some build as we go through. And is that still accretive to the margin? I assume it is. And secondly, normally, you get this huge hockey stick in the fourth quarter, but we’re in a stronger environment today. So, could you give us some sense in terms of the second quarter deliveries likely to be equal to the first, better? Just some color on all of that, if you might?
Éric Martel: We are expecting the Q2, Q3 in terms of EBITDA to be in the same level than Q1 at about 9%. But traditionally, and it’s going to be still the case this year, our Q4 is going to probably look stronger due to higher deliveries, but also the cost reduction benefit that we were just talking about. Either on the 7500 platform, but also our $400 million cost program reduction that will fully kick in is also giving us more benefit quarter-after-quarter. So, that’s the short answer to your question.
Bart Demosky: Sorry, Cai, if I could just build on Éric’s answer, just a little bit. We’ve got our production set for the year. We know exactly what our deliveries are and what our production profile looks like. So, we’re very, very confident in being able to achieve those, the EBITDA margin range that we’ve talked about, for the rest of the year as well. And then, you’re right, we are anticipating a growth towards -- as the year goes along in our aftermarket revenues, and that is a high-margin business, and that will help support margin growth as we move towards the end of the year.
Operator: Our next question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: So, my question is -- just two here. One is on your customer conversations. Obviously, you’re expanding your aftermarket services, Éric, as you indicated. But, I would suspect that you’re having customer conversations well before the opening of those facilities. I’m just curious, what is the reception from your customers so far to date? What are they? Is there any indication that perhaps you’ll get a faster build in revenue in that area, or is this something that has to be grown over time?
Éric Martel: Yes. That’s a super good question, Walter. And I have to say that every time we make a decision as a company to establish our self or grow a service center, there is always a lot of discussion going on with customer before we may even make that decision. It’s important for us. And I think history shows that it’s a success. If we look at our Singapore facility, we went around -- our customer in Asia had no options to come to Bombardier center at the time. Today, they have an option, and a lot of them are electing to go to our service center. That’s what we were being told, and it was reconfirmed to a point right now, where we need to quadruple the size of that facility in Singapore. So, same thing has been done either in Australia. People want to bring their jet home. They want to go with the OEM that builds that jet as much as possible. So, it’s our responsibility to do a good job, deliver on time, be cost competitive. And I think they have a preference, if that option exists, to come to us. So, having that strategy of being present and running a good facility, clearly, has been a winning strategy for us so far. And we do anticipate -- and when we talk to customer, they’re just waiting for us to open our order.
Walter Spracklin: Okay. That’s great. And my second question is on your production rates. Éric, you said, you feel good at where your new orders are and where your backlog is, but not quite at the level where you want it to be before you increase rates. Is there any color that you can provide as to how much better you would need to see that before your production rate went up? And what could that level be before you start needing more CapEx to expand further? Thank you.
Éric Martel: That’s another good question, Walter. So, if you look at our industry for the last five years, or even six years, the industry has always -- not just Bombardier, but everybody collectively, we’ve delivered more airplane than the number of older -- net order. So, we’ve all been decreasing our backlog collectively. And I think, right now, we were at a certain point -- we’ve adjusted the rate for that reason last year, and of course, the pandemic has accelerated that decision. But, we are in a level today where we feel that with the momentum we have, we need to rebuild -- have a couple of good quarters of rebuilding backlog. And that’s our strategy. And so far, it’s working extremely well across the board. So, I think, we need a couple of good quarters. I want to make sure that that momentum is there to stay. We had an amazing good Q4. Q1, I would say -- to give a bit more color, January was slow, but February and March picked up, and entering into a Q2, we’ve kept -- actually even accelerated the momentum we had in February and March. And we don’t foresee any sign right now of slowness. So clearly, we’re going to be in a much better place in a couple of weeks from now, backlog related, and after, it’s going to be a question of being patient and making sure that this sustains, before we make any discussion. So, we’ll be very-disciplined about it. 
Walter Spracklin: Okay. Thank you very much. That monthly cadence is very helpful. I appreciate it. Thank you.
Éric Martel: Thank you.
Operator: Thank you. Our following question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: I just have one. On the Global 7500, you guys spoke about the unit pricing -- or unit cost actually improving and margin accretion. And obviously, it’s making a pretty good progress here. The backlog remains seemingly pretty solid as well. Just wondering, what do you think about the competitive landscape here? It seems like Dassault Falcon is going to be launching a new product today. So, how do you see -- with respect to that competition or competitive environment, how do you see your strategy change in these next four or five years, until the new competition comes to you?
Éric Martel: Of course, we are aware of what our competition is doing. But, we are feeling very, very good and very strong about our 7500 flagship. But, first of all, we have 50 airplane in service. The airplane is extremely reliable. We’re at the 99.7% mark, even better right now on that airplane. So, the airplane has behaved extremely good. Our competitor, of course, are going to be -- their response is going to happen far in time. And we’re going to have even more backlog and more airplane to service. So, the customer base is extremely happy about the airplane. I mentioned, the reliability. The cabin has always been something Bombardier has been renowned for, the craftsmanship and the quality of our work. But at the same time, also, we have a history of continuously improving our products. So, if there’s possibility for us in the next coming years to continue to improve and raise the bar on the 7500, we will. So, we feel pretty good about where we are. We know that there could be possibilities of continuously improving the product. But, we are in a very, very good place, and the response is very good.
Konark Gupta: Just to confirm, have you not kind of started discussion with your customers yet on pricing at this point? I mean, like, is it too early in the game?
Éric Martel: Pricing is actually in line with our target. So, the pricing of the 7400, our assumption today are in line with our expectation across all the platform, by the way, but also on the 7500. So, good response, and of course, as we deliver more airplane and create the appetite for the product, I guess, we’re going to be in line with our expectation there, also. And we will see, as I mentioned earlier, with the backlog now getting to the 18, 24-month zone, we’re going to start to see also some pickup in demand.
Operator: Following question is from Jean-François Lavoie from Desjardins Capital Markets. Please go ahead.
Jean-François Lavoie: Just wondering if you could talk about the debt repayment efforts, because you’ve previously targeted to reimburse about $3 billion of debt by mid-2021. So, just wondering if the progress so far will help you achieve that target, or if you could even possibly exceed the $3 billion mark? Thank you.
Bart Demosky: Yes. Good morning, Jean-François. I would just state about our cash deployment towards debt that we are taking a very diligent approach to improve the overall capital structure. We have deployed $2.4 billion of the $3 billion that I’ve mentioned previously, already towards debt reduction. We’re absolutely on track to be able to deliver at least $3 billion of overall debt really reduction. And we do have some room for deleveraging beyond that. I would emphasize as well that the actions to date have already reduced our go-forward annualized interest costs by a full $200 million. And in terms of next steps, we are advancing our work on working capital facility options. I’ve mentioned this at Investor Day, as did Eric, that we have appetite to put something in place, so we can free up more cash from the balance sheet and put that towards debt, as long as it’s accretive to us. And so, we’ll continue to do that and look at cost reduction opportunities while, of course, keeping financially flexible.
Jean-François Lavoie: And then, looking at -- you mentioned the restructuring plan. Just curious, the progress made so far in Q1, and if you have been successful at identifying the remaining $75 million of synergies that you’re targeting through 2022?
Éric Martel: So, we are, Jean-François, extremely happy with where we are right now. And yes, we’ve made progress in identifying other opportunity. Of course, when you do that -- and we committed -- we made that commitment for 2023. So now, of course, Q1, we’re very-focused on executing on the hundreds of initiatives that we have to achieve this pipeline of initiatives that will bring us to the $400 million. But we have continued to develop initiatives. So, we have clear sight. We know where this is going to come from. And we still have a bit of work to do to get to the $400 million. But we are feeling very confident about it.
Operator: A following question is from Shawn Levine from TD Securities. Please go ahead.
Shawn Levine: I just wanted to dig a little bit deeper on the book-to-bill that was greater than 1 times this quarter. And if you could maybe provide more color on Challenger versus Global, maybe by geography and I think maybe by customer type as well?
Éric Martel: Yes. No, absolutely. So, the one thing that is clear right now is that momentum is stimulated by a couple of areas. One is, people new comers, people who have never flown the airplane -- on a business jet before, very little, are adhering, because they see business jet as a way to travel much safer. So, that’s one thing. And we’ve seen also a good momentum in pickup, especially with the fleet operator, because not everybody wants to own and operate his own airplane. So, the fleet operator’s a good solution. So, at the fleet operator level, there is clearly a lot of momentum. And I can say that -- but you know that. Bombardier is extremely well positioned with the fleet operator, and that creates momentum for us also at the same time. In terms of the buy platform, we’ve seen -- as I said earlier, yes, we’ve been delivering more 7500 than the number of orders so far. But, the long backlog is in part the explanation for that. And as I said, as we get to the 18, 24 months, then we’re going to see some momentum picking up again. The other question here is on the other platform. So, the other platform, we’ve been growing the backlog quite significantly across the board on Challenger and the other Global platform. So, we feel pretty good that we’re going to have, like, no whitetails at year-end and that we’re building clearly, good momentum, which brings the ability for us to maybe more predictable in our business. And I think, this is what we’re translating here today. We feel good about our overall guidance. We’re in line, and we will also, of course, make sure we capture any opportunity.
Operator: Our following question is from Robert Spingarn from Credit Suisse. Please go ahead.
Robert Spingarn: Éric, I want to follow on to that last question a little bit. And then, Bart, I have one for you. But, in terms of the order mix, lately, I guess, in the quarter or even just recently, are you saying that it doesn’t reflect the delivery mix, which was two-thirds large and one-third medium, but more medium than large in the orders?
Éric Martel: So, as I said, the mix right now is, the order intake is very strong on the medium platform, which is Challenger for us, and also strong on the Global 5500 and 6500. So, we feel we feel pretty good about this across the board.
Robert Spingarn: Bart, just following on David’s question about 2025, I think, you did say that the 7500 would be accretive. And I think you said at the Investor Day that the aftermarket business would be your second most profitable business, if I remember that correctly. So, how do we think about those businesses above 20% EBITDA margins? And then, how do we think about everything else on the other side? Are they relatively close, or is there a big dispersion in terms of margin?
Bart Demosky: I think, Rob, just the way to think about it is, obviously, margins are going to grow for the 7500 platform, as we continue, through our cost reduction, and the margin on that aircraft, because it’s -- of where it is in its lifecycle, will move towards something close to our aftermarket business. All of our other platforms are obviously margin-positive. And as we continue to see strong demand, and over time refresh those platforms and keep them at the leading edge, we expect margins on the other platforms to be strong as well. We don’t break it down, obviously, by platform, but they’re relatively close in terms of overall margin profiles.
Éric Martel: Sorry. If I can just go on what Bart just said. This team here will make the decision in accordance to that. We want to have a profitable business. We committed to be at 20%. And, we already made a decision in divesting one of our platforms. And that’s exactly the reason for it. We need to make good profit, good margin. And we’re keeping right now, and we’re very bullish about the product we have in our portfolio today, which is the Challenger, the Global and our services business, all equally important to the margin contribution.
Robert Spingarn: And the only other thing I was going to ask, Bart, on this is, how should the spread between EBITDA margin and EBIT margin progress to 2025? Does the D&A stay fairly static because you’re not really investing much anymore? How do we think about that spread at a 20% EBITDA margin?
Bart Demosky: That’s a good question, Rob. We’re looking at approximately -- what it is, $450 million by 2020? My apologies. I got that backwards. $450 million of depreciation by 2025. Hopefully that helps with the math.
Robert Spingarn: Okay. So, a little higher than it’s been?
Bart Demosky: Just -- yes, a small amount higher than it’s been. Yes. That’s right.
Operator: Our last question is from Ron Epstein from Bank of America. 
Ron Epstein: I think, a strategy picture question here. So, Bombardier will be -- is currently the only publicly traded business jet company. And how do you think about the challenges that that presents, particularly when we think about the cyclicality in the business jet market, right? I mean, right now, things are looking good. And that’s great. Everybody likes that. But, that won’t always be the case. So, how do you think about hedging and softening the blow when things ultimately do soften, when you’re really going to be in one market?
Éric Martel: I think around the -- I’ll quote the history here of business jet, to answer your question. We are, as I just mentioned, previously, in kind of three businesses. Okay? We are on the Challenger, which is the medium segment; we are competing in the large segment, which is our Global platform; and we have the services business, which we want to grow. The services business, by definition, has always been fairly stable. Yes, even if there’s a downturn in the economy, you barely see something, because people are scheduled, not in line always with the hours, but they need to come for a 5-year inspection, 10-year inspection. So, it’s driven by calendar. So, that business is very stable. If you look at both of our portfolios, the Challenger will be more sensitive, the medium segment will be more sensitive to the economy. But, the Global platform is an interesting one. The large platform is extremely resilient. If you go back in history, when we had the crisis in 2008 and 2009, actually, we delivered more large airplanes during the crisis the following year. And it’s been a very, very resilient business. And if you look at what happened last year, same thing happened again. Despite the entire world slowing down on commercial and business aviation, the number of large airplane that we delivered collectively was equal to the year before. So, what we’re seeing -- and I think we need to be looked at this way. Yes, we are a pure business play company today. But, I have two of the three businesses that are extremely resilient. One is a little less, but still not to the same extent to the light segment. The light segment, which we’re not in anymore, we’re going to finish our delivery this year, is much more effective. So, when we made our strategic decision of being in those segments, that was part of the conversation also, of course. So, we feel to be in a very good place, and probably a lot more resilient than anybody is thinking here in terms of if there is an economical downturn.
Ron Epstein: Okay, great. Thank you.
Éric Martel: So, first of all, I’d like to thank you for joining us today. I guess, if you have additional questions, Francis will be available for your call. So, in the meantime, until then, please stay healthy and take care. And we’ll see you in the next quarter. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.